Operator: Welcome to Gevo’s Third Quarter 2016 Earnings Conference Call. My name is Ashley and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I'll now turn the call over to Geoff Williams, Gevo’s General Counsel and Secretary. Please go ahead Mr. Williams.
Geoff Williams: Good afternoon everyone and thank you for joining Gevo's third quarter 2016 earnings conference call. I'd like to start by introducing today's participants from the Company. With us today is Pat Gruber, Gevo's Chief Executive Officer; and Mike Willis, Gevo's Chief Financial Officer. Earlier today we issued a press release, which outlines the topics that we plan to discuss today. A copy of that press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of today's call will be available on Gevo's website. On the call today and on this webcast, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures are contained in the press release distributed today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred including but not limited to projections about Gevo's operating activities for the remainder of 2016 and beyond. These forward-looking statements are based on management's current, beliefs, expectations and assumptions and are subject to significant risks and uncertainties including those disclosed in Gevo's Form 10-K which was filed with the U.S. Securities and Exchange Commission or SEC on March 30, 2016 and in our subsequent reports and other filings made with the SEC by Gevo including our quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today's date and Gevo disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. On today's call Pat will begin with a review of Gevo's recent business developments. Mike will then review Gevo's financial results for the third quarter of 2016. Following the presentation, we will open up the call to questions. I'll now turn the call over to Pat.
Pat Gruber: Thank you, Geoff. Hello, everyone. I would like to start off by saying that we had another exciting quarter with a number of key strategic events taking place. For today's call, I will start by giving you an operational update on Luverne followed by a progress report on our efforts in the gasoline blendstock markets. I will finish with a strategic overview and update on the jet fuel market and our recently announced partner Lufthansa. Mike will then provide a detailed financial review of the quarter before we open up for questions. So let's begin. We continue to make solid progress at Luverne. We're very pleased with the isobutanol fermentation performance in terms of yields and rates. And the equipment related to our isobutanol production that we installed at Luverne is working as designed. All operations, including the distillation system, are now up and running. During this third quarter, we produced approximately 145,000 gallons of isobutanol, which is almost a threefold increase from the approximate 50,000 gallons we produced during the second quarter. Importantly, we have brought our fermentation cycle times down from seven days to our targeted five days per batch. As you may recall, a full cycle includes not only the production of the isobutanol itself, but also the cleaning of the equipment between batches to ensure that we minimize any potential contamination issues from popping up. Moving into the fourth quarter, we continue to stay focused on increasing the frequency of our batches, so that we will be able to run an isobutanol batch every five days back to back. While the isobutanol fermentation process is going very well, we do continue to experience minor bumps along the way as we operate our overall plant. For instance, during the third quarter, we had some equipment issues on the ethanol side of the facility and as a result ethanol and isobutanol production were negatively impacted. Basically, we experienced some filing and clogging of one of our ethanol distillation columns that generates water that is subsequently recycled to the front of the plant. This clogging lead to quality issues with that recycle water and we need that recycled water for the isobutanol fermentation process. We didn't want to run the isobutanol fermentations with water that didn't meet the spec for the fermentation. Between identifying the issue and cleaning out the distillation equipment, we lost three weeks of production time for isobutanol as well as experienced lower ethanol production rates. However, we managed to successfully resolve the issue and design fixes so that this problem should not occur in the future. It's important to note that these are not issues relating to our yeast or GIFT technologies, but simply operational problems on the ethanol side of the plant that are solvable to improve system designs as well as operating procedures. On a positive note, we're really pleased to see that our isobutanol production costs continue to come down. Our raw material costs are in line with but not exceeding our expectations. The combined within an assume optimized set of utility costs based on Rodger scale isobutanol production levels, we are on track to meet our 2016 goal of $3 to $3.50 a gallon of variable cost for our isobutanol production. As previously mentioned, we expect to run more batches back to back in the fourth quarter, which we believe will further work down our production costs. By the end of 2016, we expect that we will have the capability, which will be at the production run rate equivalent to 1.5 million gallons per year at Luverne. Based on our current batch schedule, we anticipate producing approximately 500,000 gallons of isobutanol in 2016, which will be towards the lower-end of our latest guidance of 500,000 to 650,000 gallons. I want to stress that the production level should not be the defining metric in terms of our success at Luverne. Through the balance of 2016, we will be focused on optimization work to approve Luverne at its current scale and more importantly with a goal to significantly expanding the plant in the future, which we believe will enable us to achieve profitability as a company. Expansion of Luverne with [indiscernible] sale of its products is the next major goal of this company. And in a new few minutes I will outline how we are envisioned to expand Luverne, the products we expect to produce, the markets in which we expect to focus and on the customers we expect to serve. So to summarize, our near-term goals at Luverne are all about scaling up and testing new process improvements to further reduce costs and optimize production in general, all the view towards a significant plant expansion. Along the way, we do want to make sure that we are producing sufficient products to continue to build our core isobutanol and hydrocarbon markets. Next, I would like to give you an update on our sales efforts related to isobutanol as a gasoline blendstock, which we have been initially targeting towards the specialty gasoline markets including the Marina market. Now I’m very excited to tell you and we announced late last week that we also began to address on-road markets. Yes, not just off-road, but on-road. The Marina and off-markets are important markets to Gevo, near-term, as we continue to ramp up the production at Luverne, by addressing these markets, we’re able to introduce the products as a value-added fuel products that solve the problem. We continue to see a growing market demand for isobutanol products as the markets were more and more about us and our products. The marine market has been our first focus and the consumer reception has been good. Customer seems to like our product and while the boarding season is winding down for the year, we think we have set the stage for next season. As I mentioned, we have now expanded into the on-road market as we announced last week our isobutanol and gasoline is now available at multiple retail outlets in Huston, Texas through our partner Musket distribution channels, Buc-ee a 37 store regional chain of rest stops in Texas, recently accepted its first shipment of isobutanol blended gasoline to Musket Corporation as starting off at two of three stores. The combination of isobutanol and gasoline is attractive to customers, who are looking for a high performance ethanol free gasoline. As we always believed, there is demand for ethanol free gasoline for on-road use and our isobutanol can be used to meet that demand. This is happening faster than we anticipated. The same kind of value proposition translates to marine into the on-road use that is high performance gasoline with renewable content without the downsides that some people associated with biofuels. The markets for isobutanol and gasoline blendstock are very large. We continue to work with Musket and others to place our products. We are using our limited volume to see enough markets and applications to provide a base for growth to provide the demand for expanded growth for expanded Luverne facility and for our potential licensees. The next topic is hydrocarbon fuels, where we are focused on jet and renewable gasoline. So let’s speak about the jet fuel development first. We are very pleased to announce the signing of the heads of agreement with Lufthansa for the commercial supply of our renewable alcohol to jet fuel, or ATJ. Gevo was expected to supply Lufthansa with ATJ from a first commercial hydrocarbon facility that is intended to be built in Luverne. And in terms of the agreement contemplate Lufthansa purchasing up to 8 million gallons per year and up to 40 million gallons over the five year life of the off-take agreement. Over the five year life, on a levered basis, this could represent several hundred million gallons of blended fuel depending upon the blend levels of [indiscernible]. We are working with Lufthansa on the definitive agreement. The deal with Lufthansa is geared to provide a base load of jet demand to justify building out Luverne to produce large quantities of ATJ renewable gasoline and isobutanol. Today, we announced that Alaska flew another flight with our ATJ, this time with a jet fuel produced with our technology with cellulosic sugars, wood waste or uses the feedstock for the fermentation to make the isobutanol, which be then converted into the ATJ. It’s important because it reinforces what we have been saying about ability to use sugar feedstocks from a variety of sources and prove the technical and production proof points that can in fact be done. We still run into a lot of – believe that isn’t possible to have a technology like ours that can be adapted to multiple feedstocks, but this proves them wrong. To use economical cellulosic sugars in the future, we will need a supplier of those sugars to step up and we would be happy to apply our technology to make ATJ and renewable gasoline. Our nenewable gasoline or what we referred to as isooctane continues to make progress and offers the enormous potential too. To understand a renewable gasoline, think about mutan-blend, where 10% is ethanol and 90% is gasoline. I’m talking about replacing much of the 90% petro-gasoline with our renewable gasoline. We are seeing strong demand out of Europe and markets are emerging here in the U.S. as well. We are working on securing supply deals a lot look like the Lufthansa deal, which should provide off-takes from an expanded Luverne plants. We think that the market interest in low carbon fuels is a game changer. We have one of the few technologies that we believe has the potential to address these market successfully both from a cost and performance point of view. We believe that our products can be cost competitive with petro base fuels. Once we deal larger plants, where our fixed cost can be spread across more gallons. Before getting into large economical plans, but this I mean well beyond Luverne. We really do need to scale up our production at Luverne. We currently have approximately 75,000 gallons a year hydrocarbons to Buc-ee down at Texas at the demo plant at Silsbee. We have been operating at since late 2011 and the technology works. We want to put in place at Luverne 8 to 10 million gallons of hydrocarbon capacity and still have isobutanol to sell and continue to develop the blendstock markets. In order for this to be completed, we will need to build additional isobutanol promanners a new beer well, a bigger distillations systems as well as adding commercial scale hydrocarbon facility. The total amount of isobutanol produced and extended at Luverne could be at 12 million to 16 million gallon few range with a vast majority of that volume of isobutanol going to make ATJ and renewable gasoline. By taking this approach, we see based upon customer interactions around price and volume that we could generate enough profit at Luverne to be cash positive as a company. We are developing a line of sight to profitability. The customers for ATJ and renewable gasoline, ultimately see themselves needing free larger quantities than what we could produce at Luverne and we’re trying to sign up customers for the plants beyond and expand Luverne even as you’re setting up the contract for the Luverne capacity. But as we tell everybody, we are going to build out Luverne first; we are not going to just skip for a 50 million gallon hydrocarbon plant. We want to expand Luverne first, because we want to leverage our already installed capital base and also utilize our train team at Luverne, who is already familiar with the new processes. So in summary, what we need to do is as follows. One, we need to restructure our balance sheet, Mike will talk about this shortly. Two, sign definitive off-take agreements that provide the customer demand for an expanded Luverne. The approach is take or pay or finance [indiscernible] contracts. The target product mix is a combination of jet fuel, renewable gasoline and isobutanol within the next several months we expect to have additional customers for our ATJ in addition to Lufthansa and to have contracts pinned down to both renewable gasoline and for isobutanol. Secure off-take agreement before the capacity beyond Luverne. We believe that our jet fuel could be cost competitive with petro jet given the current U.S. biofuels policy. We believe our costs will be competitive with crude oil somewhere in the 65 barrel range. If oil hits these levels in a coming years, and looks possible, but our products could be come cost competitive even of one forgets the bear dream. Number four we need to finish the engineering to better down the CapEx estimates for building out Luverne in the plans beyond Luverne. Number five, way to obtain the financing for building out Luverne and at the right time for the plans beyond Luverne. This is a great time for Gevo. We have a proven technology and we are targeting large markets, which looks they could deliver a lot of profit for our shareholders over time. We need to get down over the next phase of our growth. It’s exciting time and we feel positive about the upcoming quarters. With that I would like to turn it over to Mike. Mike?
Mike Willis: Thank you, Pat. People reported revenue in the third quarter of 2016 of $6.9 million as compared to $8 million in the same period in 2015. The decrease in revenue during 2016 is primarily results with the production and sale of approximately $6.4 million with ethanol, isobutanol and distillers grains at the Luverne plant as compared to $7.6 million in the third quarter of 2015. This decrease in revenue was mainly due to lower ethanol production, ethanol prices and distiller grain prices in the third quarter of 2016 versus the same period in 2015. During the third quarter of 2016, hydrocarbon revenues were $0.5 million, $0.3 million higher than in the same period in 2015, principally as a result of the shipment of isooctane in the quarter. Gevo also generated grant and other revenue of $0.1 million during the third quarter of 2016, down $0.1 million as compared to the same period in 2015. Cost of goods sold was $9.7 million in the third quarter of 2016 versus $10.6 million in the same quarter in 2015. Cost of goods sold included approximately $8.1 million associated with the production of ethanol, isobutanol and related products and approximately $1.5 million in depreciation expense. Gross loss was $2.7 million for the third quarter of 2016 versus $2.6 for the third quarter of 2015. R&D expense was $1.2 million in the third quarter of 2016, compared to $1.5 million reported in the third quarter of 2015. R&D expense decreased in the third quarter of 2016 compared with the same period in 2015 due primarily to a reduction in employee related expense. SG&A expense for the third quarter of 2016 decreased to $2.3 million compared to the $5.1 million for the comparable quarter in 2015. SG&A expense decreased during the third quarter of 2016 compared to same period in 2015 due primarily to a decrease of $2.5 million in general legal expenses, including litigation related expenses. Within total operating expenses for the third quarter of 2016, we reported approximately $0.3 million for non-cash stock based compensation. For the third quarter of 2016, we reported loss from operations of $6.1 million, down $3.1 million from a loss from operations of $9.3 million in the third quarter of 2015. In the third quarter of 2016, cash EBITDA loss and non-GAAP measure, which is calculated by adding back depreciation in non-cash stock based compensation to GAAP loss from operations was $4.1 million compared with $6.4 million in the same quarter of 2015, representing a decrease of $2.3 million from the same period last year. Recall that last September we reported that we were targeting an average quarterly cash EBITDA loss of between $3.5 to $4.5 million per quarter in 2016 and we're within this in Q3. Interest expense for the third quarter of 2016 was $2.1 million, which was flat as compared with the same quarter last year. During the three months ended September 30, 2016, we incurred a non-cash gain of $1.2 million from a change in the fair value of the derivative warrants liability. During the third quarter of 2016, we incurred a non-cash loss of $1.9 million due to a quarterly mark to market valuation of the 2017 notes. There is no change in the value of the competitive derivatives in the 2022 Notes as those derivatives had no meaningful values since the third quarter of 2014. During the third quarter, we also incurred a non-cash loss of $0.9 million as a result of exchanging an aggregate of $11.4 million of principal amount of 2022 Notes for shares of our common stock in September. For the third quarter of 2016, we reported net loss of $9.8 million or a loss of $0.10 per share based on a weighted average shares outstanding of $96,753,965. This compares to a loss of $6.5 million in the third quarter of 2015, or a loss of $0.39 per share. In the second quarter of 2016, Gevo recognized non-cash losses totaling $1.6 million due to changes in the fair value of certain of our financial instruments such as warrants, convertible debt and embedded derivatives. Adding back these non-cash losses resulted in non-GAAP adjusted net losses of $8.2 million in the third quarter of 2016 or non-GAAP adjusted net loss per share of $0.09 per share. This compares to a non-GAAP adjusted net loss of $11.4 million in the third quarter of 2015 or non-GAAP adjusted net loss per share of $0.68. As previously disclosed, we have been reviewing strategic alternatives with a review to restructuring and/or recapitalizing our balance sheet to improve our overall liquidity position. As part of that process, we engaged in discussion with Whitebox in orders of our senior secured 2017 notes. We have also engaged in discussions with certain holders of our unsecured 2022 notes. We believe that a recapitalization transaction whereby our debt is reduced and/or our maturity date is extended and a sufficient amount of working capital is provided to fund operations would reduce the current liquidity risk for the company. Over the quarter, we believe that we significantly improved our liquidity position by effecting the following transactions. By mid September, we closed an underwritten public offering of $24.8 million, Series-E units consistent with one share of our common stock and half of one of Series-I warrant to purchase one share of common stock and 3.7 million Series-F units consistent of pre-funded Series-J warrant and a half of one Series-I warrant to purchase one share of common stock. We have received gross proceeds of approximately 15.6 million not including any future proceeds from the exercise of warrants. In mid September, we also entered into private exchange agreements with orders of our 2022 Notes to exchange an aggregate of $11.4 million of principal amount of 2022 Notes for an aggregate of 13,999,354 shares of our common stock. These exchanges reduced the outstanding principal amount of the 2022 Notes to $11 million. And on September 30, 2016, we voluntarily paid off, in full, all outstanding amounts owed under our TriplePoint Capital and all material commitments and obligations under the Loan and Security Agreement and associated documents were terminated, the payoff amount was $253,000. As a result at quarter end, our cash on hand was $31.1 million, the principal amount of our outstanding debt was $37.1 million and we had approximately 131,769,984 shares outstanding. Lastly as you may recall, the NASDAQ stock market granted Gevo an additional 180 day calendar days or until January 23rr 2017 to regain compliance with $1 per share minimum required for continued listing on the NASDAQ capital market. The NASDAQ determination to grant the second compliance period was based on Gevo meeting the continued listing requirements for market value publicly held shares and all other applicable requirements for initial listing on the NASDAQ capital market, with the exception of the bid price requirement. In our written notice of our intention to cure the deficiency during the second compliance period by affecting a reverse stock split if necessary. As a result on October 31, 2016, the company has filed definitive proxy statement with the SEC for the purpose of holding a special meeting of stockholders on Wednesday December 14, 2016. The purpose of this special meeting is to have stockholders of record as of the close of business, on September 2016 vote on the approval of an amendment to the company’s amended and restated certificate of incorporation to affect a reverse stock split of the outstanding shares of company’s common stock by a ratio of not less than one for two to not more than one for twenty at anytime on or prior to January 06, 2017. With the exact ratio to be set at a whole number within this range by the board of directors of the company and its all discussion, the company believes that the reverse stock split is necessary to maintain a listing of its common stock on the NASDAQ capital market and to provide the company with resources and flexibility with respect to our capital sufficient to execute the company’s business plans and strategy and improve the marketability and liquidity of the company’s common stock. With that we would like to thank you all for your continued interest and support of Gevo. And with that let’s open it up for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from [indiscernible].
Unidentified Analyst: Hey, Pat. Hey, Mike. How are you?
Pat Gruber: Hey, good. How are you?
Unidentified Analyst: Good. So the question relates to the Luverne expansion. Now that you have 30 plus million in the bank, what is the plan and timelines for that expansion? And just clarify if this money is going to be enough for the hydrocarbon facility there as well?
Pat Gruber: The first one we’re going to do is restructure our balance sheet and make sure that that happens and then we will know to lay the land completely. And then we're focused on getting the right off-take agreements in place and that will guide the timeline. I hope to be moving forward sometime in the middle of next year though – we’ve already begun sorry, right now, we’ve already begun the engineering. We’re not going to hold things up waiting around. So we’ve already – we delve into the engineering project already.
Unidentified Analyst: So, along the lines for Lufthansa, the heads of agreement, what is the timeline there, like what is the process you’re following? And when do you expect them to have a definitive agreement?
Pat Gruber: Well the work to be done is to pin down the details. So one of the things is that we have our ATJ to be blended up to 30%. So we have to work through that blending arrangement and get the right people on board in the right location. And so that’s what both Lufthansa and we are focused on.
Unidentified Analyst: Did you say 30%?
Pat Gruber: Yeah, it’s up to 30%. I think when the jet fuel is more expensive in early days, you would blend that at a much lower rate, maybe 5%. And so we have to figure that out because when you blended at a 5% obviously that’s a large quantity of gallons that need to be blended.
Unidentified Analyst: Right, right.
Pat Gruber: So we’re working out those logistics and make sure we pin them down and there is a couple of creative things that we can do to solve that.
Unidentified Analyst: The flight that just took place, the isobutanol was produced at the Missouri facility. Is that right?
Pat Gruber: It was. So, NARA produced sugars. The sugars were taken down to the pilot plant down in Missouri at the ICM facility. That’s why we have a GIFT system and there is a fermento there as well. We’ve fermented and did isobutanol from the cellulosic sugars and then we shipped the isobutanol down to Texas and produced the jet fuel at the plant in Texas. And what’s interesting about this and what’s significant is it kind of ends the debate on can use cellulosic sugars or not. I mean, these are pretty crude sugars from cellulose and our bugs did well with them.
Unidentified Analyst: Is there a reason why the Lufthansa Silsbee was not used for this or is it not equipped to do cellulosic?
Pat Gruber: Could we use cellulosic sugar – is that what your asking, Sameer…
Unidentified Analyst: Yeah, yeah.
Pat Gruber: Yeah, the answer is yes. We could use – so what’s interesting about Luverne is that we could – we’re grinding up core and obviously using the starch, but we could take on sugar is that available – would love to actually.
Unidentified Analyst: Okay. Just last one from me. So there are 37 locations that in the Huston area that are expected to use this isobutanol blend. Do you have – like what is the level of demand from there and do you have enough capacity right now to supply that demand in Huston?
Pat Gruber: If it expanded the way people expect, the answer is currently. No, we would not have enough demand on that supply.
Unidentified Analyst: Okay.
Pat Gruber: If I expanded the people think – they’ve talked about, the answer is we’d be short on supply.
Unidentified Analyst: Okay. Thanks a lot.
Pat Gruber: Even if we’re at our full run rate.
Unidentified Analyst: Which is 500,000 gallons?
Mike Willis: No, even if I was at $1.5 million run rate.
Patrick Gruber: Full run rate. Oh my god.
Mike Willis: Even if I was at the 1.5 million gallons per year, I think that the market in Houston just itself is much bigger than that.
Unidentified Analyst: Okay, great. Thanks a lot then.
Operator: Thank you. And next we have a question from Jeff Osborne [Cowen & Company].
Jeff Osborne: Yes. Good afternoon. Couple of questions on my end. On the – obviously a bit of a delicate answer you’re doing on the restructuring of the balance sheet and working on that but I think certainly Whitebox and other investors would want to have a handle pad on what the expectations for the cost of the additional $12 million to $16 million. So can you just talk about – is that kind of $4-ish a gallon we should think about in terms of preliminary estimates, obviously ethanol is about half of that. But I just want to any kind of ballpark or horseshoes and hand grenades number that you can draw out there for now?
Mike Willis: I think the best way to characterize it would be much lower than $4 a gallon. Because the GIFT system is already deployed at Luverne. So that that spend capital that’s the capital that Pat talked about wanting to leverage and why we want to the expanded capacity to be Luverne itself, because we've already built that out. So the capital, we're talking about would be as you know Jeff we have some carbon steel fermenters there that we'd prefer to have stainless steel fermenters there be some re-piping. Obviously, we’d also have to build an expanded hydrocarbons’ facility to build out the jet volumes filled with tons of contract. But it's not in the $4 a gallon.
Jeff Osborne: Okay. But we're at a minimum would it be higher than what a traditional ethanol expansion would cost or no?
Mike Willis: If you mean the – why it would be very similar, because we're talking about a couple of fermenters – couple or three for fermenters up your well and some distillation columns. So it look a lot like that.
Jeff Osborne: Okay.
Mike Willis: For the isobutanol portion.
Jeff Osborne: Got it.
Mike Willis: And then jet fuel itself that portion is separate.
Jeff Osborne: Got it. And then to my memory, you've already received – or you already have in hand air permit approvals to expand or is that just can you talk about the process above and beyond the capitalization of the company and having the cash to do this. What else needs to be set in motion to do this?
Pat Gruber: Those things are already in motion, moving forward.
Jeff Osborne: Okay. And then how should we think about modeling the production of isobutanol in Luverne for now assuming you don't expand, should we keep it at that $300,000 through 2017. Just looking at the guidance of $500,000 looks like you have to do about $300,000 in the fourth quarter. Do you see that increasing? Do you see the ability to shift some of the other silos if you will of ethanol over to isobutanol or just given the improvement in cash spreads? Are you going to be focused more on ethanol on and preserving cash?
Mike Willis: No, I think for modeling purposes probably what we expect to do in Q4 is a probably a good run rate to assume, to be honest, we're not exactly sure gallons that will produce in 2017 at this stage. Again per Pats comments gallons over either themselves aren’t the key metric or the only metric to focus in on? What we want to be is successful. When we expand the entire facility for isobutanol and hydrocarbons facility – hydrocarbons, that’s really the end goal. Because that is what gets the company to profitability? So we're going to be doing – tests operating the plant in certain configurations to ensure that success
Jeff Osborne: Got it and I appreciate you laying out the kind of game plan for 2017 in terms of the five step process Pat but the last one obtained financing for the Luverne expansion. You mentioned seeking kind of take a pay or financeable off-take agreements. Assuming you're able to replicate the Lufthansa strategy with other airlines and other partners. What is your kind of feedback then from the debt markets about financing this or would you expect it to come from equity?
Pat Gruber: Let me comment first about the interest in the marketplace. We turn to be – we seem to be on a sweet spot in terms in a good timing, jet fuel is a big deal for these airlines and we're one of two technologies that can make a difference. The other one being [indiscernible] then there's ourselves and ours looks to be a route that could grow quite well. People recognize that they want to see us get through the Luverne and out to bigger plants as quick as possible. So I think we're going to – I think will be able to deliver more than one airline in – for optic is what that we want is to be able to build into the tens of millions of gallons at the next stage.
Jeff Osborne: No. I appreciate that. But if you let's just say hypothetically a Ten airlines that signed an off-take agreement today take your pay today they're all signing strike. Could you go to a bank and get debt financing for this or your perception of risk of the technology and ramp up that debt maybe is just too expensive?
Pat Gruber: I think it's probably too early to pin it down, specifically, however again one of the reasons why we want to build out Luverne first is to take the technology question off the table. So as soon as people get comfortable – 100% comfortable with the technology and we have firm long-term off-take agreements in place. Then I won’t see why we shouldn't be able to finance our plans none like ethanol plants were able to finance themselves with significant percentages of project financing.
Jeff Osborne: Right. Makes sense. Well last one I think a easier question for you, but if I was to go to one of those two lucky sites in the Houston area. How would the blend be marketed to me as an individual. And then also what would be the comparative price that I would be paying per gallon for fuel that has your blend in it relative to maybe a different lucky station in the same area that doesn't? I guess just given that 350 to 430 ASP I assume on-road is at the lower end of that ASP range in marine, certainly you would pay a premium in lawn care and other applications that you've talked about, but in particular I guess is the consumer aware that they're buying something that's unique and different or is it not transparent to them?
Pat Gruber: For other gasoline fuels, it's not marketed as isobutanol or anything else, it is simply ethanol free gasoline that's high performing and that's kind of how it's done. And it's sold at a premium a significant premium over the ethanol containing gasoline. And for us we're still hanging in there at the same kind of selling price that we always thought even though it's on-road not surprised of this so far. But we'll see how it changes in the future, hope growth it does change. But so far it seems to be selling well and it's expanding. So it's looking good.
Jeff Osborne: There's no fear murmuring about how ethanol is bad for your engine like there might be for marine or other things or maybe the consumers a little bit more aware. Is that fair?
Pat Gruber: Well, it's more along the lines of people have really high performance engines or old cars or classic cars or whatever and this stuff is ideal for them. And so it's a ethanol free high octane gasoline high energy, it performs well and people like it.
Jeff Osborne: Perfect.
Pat Gruber: Here is a subtlety that’s important. This is an non-attainment area that means under the air quality. It's a very highly restricted area they have to have oxygen units in it. So we here's some opportunity to have an oxygenated containing fuel, ethanol free and meets all the requirements with high performance. That's why it's interesting.
Jeff Osborne: Got it. That's helpful. That appreciate it.
Pat Gruber: Yes.
Operator: Thank you. [Operator Instructions] And we have a question from [indiscernible].
Unidentified Analyst: Hi, Pat.
Pat Gruber: Hi, there.
Unidentified Analyst: I was just wondering to see what Gevo has planned as to regain investor confidence. I mean there's been multiple reverse splits just trying to see what kind of plans we have planned out?
Pat Gruber: What was that. The last voice, I heard the question. I'll answer the question. Yes, basically we execute the plans, when we've been – we've gone through in the last year and a half a lot of turmoil and we scale our plant in Luverne, again we deployed some capital it's working as we expected. We're hitting the jet market the isooctane market. The isobutanol market they're all growing. We have customers who are interested. Our customers are gaining confidence in us and as we – I suspect as we continue to pin down customer contracts that ought to help investor confidence. In regarding the reverse stock split, we have to be above $1 for a certain period of – stock price over a certain period of time otherwise we run the risk of being de-listed. The safest thing for us to do, is to do a reverse split. It isn't about trying to drive up the price. So we can drive it back down again. That isn't it, it's about making sure that we maintain our market position and liquidity. So it's a – as we continue to execute I would hope that people have confidence on what's going on.
Unidentified Analyst: All right. Thanks Pat.
Operator: Thank you. And next we have – looks like we have no further questions at this time.
Pat Gruber: Great, thank you very much. Thanks everybody for joining us. I appreciate it. Have a good day. Bye.